Operator: Ladies and gentlemen, thank you all for standing by, and good evening. Thank you for joining Sohu's Second Quarter 2014 Earnings Conference Call. At this time, all participants are in a listen-only mode. After management's prepared remarks, there will be a Q&A session. Today's conference call is being recorded. If you have any objections, you may disconnect at this time. I'd now like to turn the conference over to your host for today's conference call, Eric Yuan, Investor Relations Director of Sohu. Please go ahead, sir.
Eric Yuan: Thanks, operator. Thank you for joining us today to discuss Sohu's second quarter 2014 results. On the call are Chairman and Chief Executive Officer, Dr. Charles Zhang; President and CFO, Carol Yu. Also with us from Changyou are President, Dewen Chen; Chief Operating Officer, Xiaojian Hong; Acting CFO, Rucia Ren, as well as CEO of Sogou, Xiaochuan Wang; Vice President of Sohu and COO of Sohu Video, Ye Deng. Before management begins their prepared remarks, I'd like to remind you of the company's Safe Harbor statement in connection with today's conference call. Except for the historical information contained herein, the matters discussed in this conference call are forward-looking statements. These statements are based on current plans, estimates and projections, and therefore you should not place undue reliance on them. Forward-looking statements involve inherent risks and uncertainties. We caution you that a number of important factors could cause actual results to differ materially from those contained in any forward-looking statement. For more information about the potential risks and uncertainties, please refer to the company's filings with Securities and Exchange Commission, including its registration statement and most recent Annual Report on Form 10-K. With that, I will now turn the call over to Dr. Charles Zhang. Charles, please proceed.
Charles Zhang: Thank you, and thanks to everyone for joining our call. I'm pleased to report that our Group's quarterly revenues hit record high of $400 million, in line with our prior guidance. Notably, for our news and video businesses, we made solid progress in mobile monetization as our large user base successfully attracted a growing number of advertisers. Mobile ad revenues for each of them grew in triple digits from the prior quarter. For Sogou, it launched the unique WeChat official account search function as it deepened its cooperation with Tencent. And driven by strong revenue growth, for two consecutive quarters, Sogou achieved profitability that was even sooner than we had forecasted. For Changyou, its platform initiatives are well on track with the second quarter achieving [252] (ph) million average monthly active users of platforms channels, almost tripled from a year ago. In the meantime, we saw relatively soft performance of its existing portfolio of online games, primarily as Changyou released a new expansion pack for TLBB to reduce the level of difficulty and make other adjustments in April. With the expansion packs of existing games and new games in the pipelines, we expect its game business will continue to generate healthy cash flow to support Changyou's long-term growth objectives. Before I give more detail on performances of our key businesses, let me share with you our financial results for the second quarter of 2014. Total revenue $400 million, up 18% year-over-year and 10% quarter-over-quarter. Net brand advertising revenue were 133 million, up 33% year-over-year and 20% quarter-over-quarter. Of that, online video advertising revenues rose 85% from year ago. Sogou revenue topped expectations at $91 million, up 82% year-over-year and 30% quarter-over-quarter. Online game revenues were $154 million, down 9% year-over-year and 6% quarter-over-quarter. Non-GAAP net loss attributable to Sohu.com was -- net loss was 34 million, or $0.88 loss per fully diluted share. Now, let me go through some of our key businesses. First of all, media business; for Sohu News, we strived to aggregate and analyze vast user data across our various properties to better understand their habits. As such, we can provide users more personalized content and keep them stay longer on our new services. This is essential when users spend more time on mobile devices. Meanwhile, we began actively exploring new ways to monetize our mobile traffic in both Sohu News Application and Sohu WAP portal. In addition to the traditional sponsorships and banner ads, we also launched a new ad format, such as the loading page ad and the newsfeed ad on the latest version of News Application. For the second quarter, partially thanks to the World Cup. Mobile ad revenues showed strong growth, up 210% from the prior quarter. The early advertisers are largely from auto and FMCG sectors. For online video, our multi-screen strategy continue to work well, despite the trend of a PC from mobile shift, our PC traffic grew steadily. For June, the daily video views were up 16% sequentially on PC. For mobile, leveraging our group's multiple mobile gateways including Sohu Video application, Sohu Video apps, Sohu News app and Sohu WAP portal and Sogou Pinyin mobile version, we're able to cross-market our video content to a vast population of users. We also take advantage of the major events to promote our mobile apps. For example, during the World Cup, China Telecom provided its subscribers free game viewing package exclusively into Sohu Video app users. On the content side, Sohu Video continued to offer a highly attracted portfolio. On top of the extensive coverage of hot domestic TV dramas, we've further expanded our library in other popular categories. For example, we provide ourselves -- we've tried ourselves on our strong categories of American content. In June, we exclusively debuted the top-ranked talk show, The Conan Show, which received positive feedback from viewers. For the summer session, we are excited to exclusively launch a selection of highly anticipated emerging TV dramas such as The Last Ship and Extant. Over the past few quarters, we're also delighted to see our animation channel gaining strong traffic, and we introduced a variety of domestic and Japanese series on an exclusive basis. Benefiting from our strong content offering, in June, Sohu Video's combined traffic continued to trend up, grow by 26% sequentially. Mobile traffic growth was even quicker, up about one third from the prior quarter. And entering the summer holiday season, we witnessed a robust traffic growth. As July comes to an end, the combined average daily video views for the past two weeks is again up by another 24% from last month. On the sales front, for the second quarter, we maintained rapid growth in advertising as revenues rose 85% year-on-year. Advertisers is trending more and more receptive to our mobile advertising solutions, helping our mobile revenues to more than double from the prior quarter. Lastly, I'd like to share our views on the industry landscape. Over the past few months, the online video has been in intensified competition and escalation in content price. Despite the decent top line and term growth, we achieved the industry-wide unfavorable cost structure will continue to overshadow the profitability outlook for the entire industry, including us. Looking ahead, we'll continue to make the necessary sustainable investment, particularly when it comes to content acquisition. Next, move to Sogou; Sogou continues to quickly expand its business with strong traction gained on mobile. We believe Sogou is well positioned to attract more users through differentiated product and the effective marketing campaigns to strength its brand. Xiaojian will update you more details in his remarks next. Lastly for Changyou; for the second quarter, game revenues came in below prior expectations primarily as TLBB released an expansion pack to reduce the level of difficulties leading to high spending players spending less during the quarter. We believe this transitional effect is short-term, and we'll continue to launch new expansion packs to expand the longevity of our existing games. On the other hand, we have a promising line-up of new games for the second half of 2014. Our pipeline for the rest of the year includes three MMO games, two Web games and a five to six Mobile games. In summary, we're confident that Changyou's overall game business will continue to generate healthy cash flow to support its long-term growth strategy. Over the past few quarters, Changyou devoted a lot of efforts into its platform strategy, and many initiatives are progressing well. For the second quarter, Changyou had 252 million average monthly active users of platform channels, up 192% year-over-year. Of this, roughly 50 million users sourced from mobile apps. Recently Changyou announced it's investment in MoboTap, the creator of Dolphin browser, one of the top alternative mobile browsers globally. With this, Changyou gained immediate presence in the U.S. and Europe, where the vast majority of Dolphin browsers users lie. Dolphin browser will be a strong gateway for Changyou to promote its products in overseas markets. Now, I'll pass the call over to Xiaochuan Wang for an overview of our Sogou business.
Xiaochuan Wang: [Foreign language - Chinese] Thanks, Charles. Hello everyone. [Foreign language - Chinese] In the second quarter, Sogou continued to solidify its strong foothold in key products, including Pinyin, browser and search. On PC, total user base further expanded to 480 million, putting Sogou at a number three position announced Internet companies in China according to iResearch. On mobile, Sogou is the number two player in China in terms of user base as mobile Sogou Pinyin monthly active users exceeded 200 million. For search, Sogou maintain its position as the number two mobile search and the number three PC search service provider, and demonstrated, [strengthened] (ph) the competitiveness in mobile search. [Foreign language - Chinese] Sogou and its strategic investor Tencent have have pushed forward their cooperation in multiple aspects. Sogou now provides a full range of search services for the vast number of users of Tencent's QQ Portal, browser and WAP directory sites on PC and mobile. We're especially excited with our latest progress as we deepen the cooperation. On June, the 9th, Sogou launched an exclusive WeChat search functions allowing users to search millions of official accounts and the content therein. People could also easily subscribe to the accounts they're interested in by scanning the QR code provided in the search results. This unique feature helps improve the brand awareness of Sogue search, and it differentiates it from other social services. [Foreign language - Chinese] In addition, Sogou and Tencent are also proactively looking to cooperating other aspects. For example, Sogou Pinyin has exclusive worked with QQ on emoticons. QQ new users can now synchronize their personalized QQ emoticons to Sogou Pinyin and use them as scenarios other than of QQ Chat. Such improvements further enhance the user experience. [Foreign language - Chinese] With smooth cooperation with Tencent, along with Sohgou's consistent efforts to improve search quality and user experience with the overall search traffic continue to grow quickly. Notably compared to the prior quarter, mobile search traffic grew by more than 30%. [Foreign language - Chinese] Financially, for the second quarter, Sogou revenues reached $91 million, representing 82% of growth year-on-year. The number of search advertisers and the average revenue per advertiser increased by 23% and 63% year-on-year respectively. Cost per click notched healthy growth with mobile CPC growing faster than that on PC. Mobile search revenues went up 50% sequentially driven by slower revenue growth in the second quarter of Sogou recorded operating income of approximately $5 million on a non-GAAP basis. This is the second consecutive quarter we achieved profitability. I'll now speak on behalf of Miss Carol Yu, CFO of Sohu.
Carol Yu: (Interpreted). Thank you, Xiaochuan. Hello, everyone. I'll go through key financial metrics for each of the major lines. For brand ad business, (A) Revenues; for the second quarter total brand ad revenues were $133 million, up 33% year-on-year and 20% quarter-over-quarter. 1) By different platforms; for the second quarter ad revenues for Sohu.com including online video were $93 million, up 38% year-over-year with online video ad revenues up 85% year-over-year. Ad revenues for Focus.cn, our real estate channel were $26 million, up 13% year-over-year. Of this, about 40% was from e-commerce business. Ad revenues for 17173 were $15 million, up 46% year-over-year. And specifically about mobile monetization, for the second quarter for Sohu.com excluding online video, mobile ad revenues from Sohu News apps and Sohu Web portal reached high teens of total ad revenues. For online video, mobile ad revenues reached 20% of total ad revenues. 2) By sector across all platforms; the top three factors for automobile, FMCG and real asset, each contributed about 20% of the total brand ad revenues. 3) Ad price, for the second quarter the overall ad rate is largely stable compared to the previous quarter for both video and non-video ads. (B) Cost of revenues. For the second quarter non-GAAP cost of revenues for brand ad business was $82 million, up 50% year-over-year and the 28% quarter-over-quarter. This increase was primarily due to increases in content and bandwidth costs. For the second quarter, content cost was $40 million, up 92% year-over-year and 55% quarter-over-quarter. The majority of the content cost is related with our online video business. Bandwidth cost was $21 million, up 73% year-over-year and 11% quarter-over-quarter. The increase mainly reflected the mobile traffic growth for the video business. (C) Operating Expenses, for the second quarter non-GAAP operating expenses were $88 million up 30% year-over-year and down 2% quarter-over-quarter. The year-over-year increase was primarily due to increase in compensation expenses. For Sogou, total revenues were $91 million, up 82% year-over-year and 30% quarter-over-quarter. Of this, search-related revenues were $85 million, up 81% year-over-year and 32% quarter-over-quarter. Non- GAAP operating income was $8.8 million compared with the operating income of $500,000 in the previous quarter and operating loss of $1.1 million in the second quarter of 2013. For Changyou, for the second quarter, total revenues including 17173 were $117 million down 3% year-over-year and 2% quarter-over-quarter. The non-GAAP cost of revenues and operating expenses were 184 million, up 107% year-over-year and down 12% quarter-over-quarter. The year-over-year increase was mainly due to an increase in marketing and the promotion expenses for various software applications and the increase in income efficient expenses. The non-GAAP operating loss was $6.6 million. This compares with non-GAAP operating loss of $29.7 million last quarter and a non-GAAP operating profit of $93.6 million in the same period of last year. Turning to operating cash flow; for the second quarter the operating cash flow of the group was $5 million. Changyou generated $3 million with the rest of $2 million from other business units. Now, let me provide our outlook for the third quarter of 2014. We're expecting total revenues to be between $427 million and $442 million; brand ad revenues to be between $148 million and $153 million. This implies a sequential increase of 11% to 15% and the annual increase of 19% to 23%. Sogou revenues to be between $100 million and $105 million, this implies us a crucial increase of 10% to 15% and the annual growth of 76% to 84%. Online game revenues to be between $158 million and $163 million; this implies a sequential increase of 3% to 6% and annual decrease of 2% to an annual increase of 1%. Before deducting the share of non-GAAP net loss pertaining to non-controlling interest; non-GAAP net loss to be between $28 million and $34 million; non-GAAP net loss attributable to Sohu.com, Inc to be between $29 million and $33 million, and a non-GAAP loss for fully diluted share to be between $0.75 and $0.85. Assuming no new grants of share-based awards, we estimate the conversation expenses related to share-based awards to be around $22 million to $23 million. The estimated impact of this expense is expected to increase Sohu's loss for fully diluted share for the third quarter and our U.S. GAAP by $0.57 to $0.59. This figure should not be used to calculate Sohu's projected GAAP loss for fully diluted share as there are other factors impacting such a calculation, for which no reconciliation is provided. I'm pleased that with total revenues for the Sohu group reached $400 million driven by strong growth in online video and Sohu businesses. Although our near-term margin is under pressure due to [strategic] (ph) group deployment for online video and Changyou, I'm confident that such investment will yield long-term return for our shareholders. This concludes our prepared remarks. Thank you for joining the call today. Operator, we'd now like to open the call to questions.
Operator: (Operator Instructions) Your first question comes from the line of Eddie Leung from Merrill Lynch. Please ask your question.
Eddie Leung – Merrill Lynch: Good evening. Thank you for taking my questions, just quick questions on your third-quarter guidance. It seems like there would be a bit of deceleration on your brand advertising, so just wondering what could be the reasons behind that. And just a follow-up questions on your brand advertising as well. You mentioned that we have the World Cup impact. So just wondering what's the impact on content costs from the World Cup during second quarter and third quarter? Thanks.
Carol Yu: Hi, Eddie, this is Carol. The deceleration is mainly caused by the fact that in Q3 of last quarter we have the voice of China 2, which actually brings the Q3 numbers for last year to be a difficult comp for this year. So we'll see that for the video advertising revenue, it would decelerate from 85% to 40% in Q2 -- from Q2 to Q3. Regarding the World Cup, comp is pretty even between the two quarters because it's fairly evenly spread out between the two quarters. So, there is no major difference.
Eddie Leung – Merrill Lynch: I got that. Thanks, Carol.
Operator: Thank you for your question. Your next question comes from the line of Alicia Yap from Barclays. Please ask your question.
Gregory Zhao - Barclays: Hi, this is Gregory calling on behalf of Alicia and I'm carrying two questions. The first question is about our Sogou search. As you mentioned, the cooperation with Tencent on the WeChat public account, so in the management's view what's the potential revenue upside and the potential monetization method from the search function launched along WeChat and how will that work and when we can expect some material revenue contribution? And our second question is about the outlook of display advertising as we saw some changes in several vertical industries like auto, like property. We saw some vertical companies aggressively bidding for Baidu traffic and some are integrating both online and offline industry. So what will be the impacts on these changes to our verticals? And in Q3 what's the general outlook and advertising demand for auto and real estate? Thanks.
Carol Yu: Just to clarify, your second question is relating to the brand advertising business or relating to the search business?
Gregory Zhao - Barclays: Brand advertising.
Xiaojian Hong: [Foreign language - Chinese] So, our main purpose to launch the WeChat search is to differentiate Sogou search service from other search service provider and let the users to recognize the Sogou search brand. So, we do not have any immediate plan about the monetized traffic where we test search. [Foreign language - Chinese] So, during the second quarter we saw quite a strong growth in our overall search traffic, on particular from the mobile and partially due to the launch of the WeChat search.
Charles Zhang: Yes. Let me clarify that. Actually your question, it is actually the -- it's not that WeChat have the Sogou search. It's actually Sogou search have access to WeChat content. So actually it will -- because of this feature if that's actually already included in a page search, the overall traffic of Sogou search, so the monetization side will be just automatic, just like the monetization for other web page search, there is no need for a special monetization process for WeChat search. About the verticals?
Carol Yu: Yes.
Charles Zhang: I think about auto, I think the Sohu media will continue to remain to be a media business. Its advertisers maybe display large brand advertisers or small media enterprises, but they'll do advertisement on the Sohu platform. So that means that our auto channel will be integrated with our overall media properties especially with the mobile media properties. So we're not getting into auto business yet at that current stage for our auto -- for real estate, maybe …
Carol Yu: Let me just add on what Charles has said. I think the overall strategy for Sohu media properties in order to increase monetization the key is to do the data mining that Charles has mentioned, as well as focus on the monetization on the mobile front. So this is the overall strategy for our media properties as a whole. Turning to real estate, we're a softening property market as everybody knows. So we're seeing decreased demand for advertising services. We do expect the growth rate for our Focus.cn Web site to slowdown from -- in the 80s growth rate down to around 40% for this year.
Gregory Zhao - Barclays: Okay, thank you.
Operator: Thank you for your question. Your next question comes from the line of Alex Young from JP Morgan. Please ask your question.
Alex Young - JP Morgan: Hi. Good morning and good evening, everyone. Thank you for taking my question. I have two questions. Number one, is terms of resource allocation, how do you guys ensure the resources are collaborated within the Group? We understand a lot of the business units is in investment stage, but there are lot of room for collaboration but we have actually seen you guys have a Sogou browser on one hand, but you guys are building another 17173 browser and buying another Dolphin browser, etcetera. Can you share with us the thoughts in resource allocation? And I have a follow-up question. Thank you.
Charles Zhang: Yes. I think we have a pretty clear allocation of business scope and resources like 17173 browser is really about gaining information. Yes, we're not doing it. And also the Dolphin browser is mostly overseas, especially in the U.S. and European market. Well, the Sogou browser is for men in China mostly.
Alex Young - JP Morgan: Okay. So regarding your video strategy, you guys mentioned the industry remained highly competitive. Can you share with us the early thoughts on 2015 content-buying strategy? Yes, I'll stop here. Thank you.
Charles Zhang: Well, we will make sensible investments in content exhibition. There will be some uptick of cost, especially for overseas content like U.S. -- American content and Korean content. But we'll -- it's manageable and we'll make sure that our content will get the most attention and traffic so that our revenue will catch-up, so the cost structure will be similar.
Alex Young - JP Morgan: How would you differentiate your content strategy compared to the peers?
Charles Zhang: We believe that we have a better judgment or precise, very accurate target and selection. This is the ones we have a good content especially, look at the American TV dramas that we select, the best, most of our selections got Emmy awards and -- like House of Cards, Breaking Bad and Fargo, etcetera. And also, we're getting the Saturday Night Live, Ellen DeGeneres and content show basically the American variety shows. So we're -- for example, so we are -- basically we believe we have a better team of acquisition, a better judgment. And also, our cross-marketing capability, like I've always said that Sohu Video is not just a vide site, it's actually a media company, so that we can cross-market our video content on our Sohu's News platform and Sohu WAP portal and other, and even Sohu Pinyin so that it means we can make the best use of our content, and that explain why without any major acquisition, and Q2 our traffic grow faster than industry average, actually much faster.
Alex Young - JP Morgan: Yes. Got it, thank you very much.
Charles Zhang: Welcome.
Operator: Thank you for your question. Your next question comes from the line of Philip Wan from Morgan Stanley. Please ask your question.
Philip Wan - Morgan Stanley: Hi, thank you for taking my questions. My question is about your Sogou business. So what was the revenue contribution from mobile this quarter, and your target by the end of this year? And also, as Sogou is reaching profitability sooner than your expectation, so again, what's your expectation on Sogou's profit in coming 12 months? Thank you.
Xiaochuan Wang: [Foreign language - Chinese] So, the mobile search revenues as percentage of the total search revenues notched up in the second quarter. We're at -- now it's still at low teens. We think the mobile search revenues will maintain a fast growth as a result of the robust traffic growth and improved pricing. Having said that, as our PC revenues also will grow quickly. So, generally speaking we expect -- by the end of the year, we actually expect maybe as a percentage of the total revenues, the mobile revenue contribution could be comparable to the current level.
Charles Zhang: Let me answer the second part of the question. I think our goal is really to have market share. Although now we're on the mobile search side, we're number two on mobile search, but actually the distant number two. So, our goal is really for market share at this stage. So, the profitability is not our number one priority for search right now.
Philip Wan - Morgan Stanley: So a follow-up on that, as you mentioned currently you're a distant number two. So what is the strategy, for example, to capture more market share from the market leader? Thank you.
Xiaochuan Wang: [Foreign language - Chinese]
Charles Zhang: There will be many strategies, but we'll wait and see. Well, we have a good resource. In terms of mobile search, we have the largest teen user base, which actually the number two software installed on the mobile, second next to WeChat in China. So we have a huger user base of Chinese character input, and also with the WeChat and also with the vast territory of Tencent's user base, and so we have a lot of animation and also when you have a smart strategy and to execute and continue to grow, and to become a closer number two.
Philip Wan - Morgan Stanley: Thank you.
Operator: Thank you for your question. Your next question comes from the line of Chi Tsang from HSBC. Please ask your question. Once again, your next question from the line of Chi Tsang from HSBC. Please ask your question.
Chi Tsang - HSBC: Yes. Can you hear me now?
Charles Zhang: Yes.
Chi Tsang - HSBC: Hello? Hi, great. Thank you for taking my question. I had a question about the video business. Regarding your earlier comments about the unfavorable cost structure of the video industry, I'm wondering what you think needs to happen for the industry to improve in terms of economics. And I'm also wondering about your thoughts on the potential for pursuing some type of consolidation in video to improve your own scale. Thank you.
Charles Zhang: Well, the cost structure, first of all, we'll try to find some way to lower the cost, bandwidth costs per gigabytes. So, there are several ways. There is a better new working relationship with telecom and also there has been P2B technology that we can utilize to lower the bandwidth cost, average bandwidth costs. Then secondly, actually the largest part of the cost is really content. So the content is really -- we hope that these video companies, I'm really still all -- each of them have a large financial backing and still fighting strive for market share. And when settles and when people become sensible, then the price of content will level off. So, we hope that the content calls will be manageable in the near future. But most importantly is that we need to really to ramp up our revenue scale. For example, to have better -- the targeted advertising system and also part of -- some of our content, really premium content we start to do subscription or transactional services. These are the things that can really ramp up the revenue and then the industry as a whole will have more favorable cost structure.
Chi Tsang - HSBC: And do you think that you need to pursue consolidation opportunities to increase your own scale?
Charles Zhang: From our experience in the last -- actually last year, we actually can grow our business, as I said we have a huge user base of the Sohu group to [tap] (ph), so that we can grow our traffic and gross without major acquisition. We don't want to dilute our shareholder interest. We can do it without these mergers acquisitions, which I believe sometime actually create some problems.
Chi Tsang - HSBC: Thank you.
Operator: Thank you for your question. Your next question comes from the line of Thomas Chong from Citigroup. Please ask your question.
Thomas Chong - Citigroup: Hi, good evening. I have two questions. The first question is about search. Can management give us some color about the PC search strategy? How can you ramp up the PC search traffic share going forward? And my second question is about mobile search. Can management provide us some color about how much of your mobile search traffic come from QQ browsers? Thanks.
Xiaochuan Wang: [Foreign language - Chinese] Okay. So, Thomas, for PC search, previously so they mainly relied on our so-called three-layer strategy that leveraging our distribution channels the PC browser to promote our social service. And more recently, as we mentioned, we launched a more differentiated products. And we can offer the user better experience, better search, better quality search service. So, we're actually at a new level to -- we can now have more confidence to compete with the leader of the market head-to-head. And we'll also improve our brand recognition among the users of the Sohu search brand. [Foreign language - Chinese] So, for our mobile search apart from the traffic support from the Tencent QQ browser, Sogou actually launched our own full-range mobile search app, Android system as well as the iOS system in the second quarter. So again, we can now offer differentiated products to our users. So, that's basically our strategy to continue to grow our mobile search traffic going forward.
Thomas Chong - Citigroup: Got it. Thanks.
Operator: Thank you for your question. Your next question comes from the line of Natalie Wu from CICC. Please ask your question.
Natalie Wu - CICC: Hi. Thanks for taking my question. Just wondering, can you share with us MAU and DAU data for your mobile Sogou search app? And for your advertising revenue, how much is contributed from the mobile? And it will be better if you can give us some color on both video and search respectively. Thanks.
Charles Zhang: So, Natalie, the first part of the mobile ad revenue contribution for Sogou, I think I already mentioned now it's at the low teens. Is that part of your question?
Natalie Wu - CICC: Yes, and mobile contribution for your advertising revenues?
Charles Zhang: You mean for search app?
Natalie Wu - CICC: Both video and search respectively, the mobile contribution.
Charles Zhang: Yes, mobile contribution both in the teens; between 10 and 20%.
Natalie Wu - CICC: Both in the low teens, okay. Thanks.
Charles Zhang: We're not giving out our MAU yet. We're not giving our MAU for both video and search app.
Natalie Wu - CICC: Okay, thanks.
Charles Zhang: But we do gave out the overall video view that over the -- actually the July number grow like 50% to 60% compared with March of the overall video traffic.
Natalie Wu - CICC: That's helpful. Thank you.
Operator: Thank you for your question. Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation. You may all disconnect.